Operator: Good afternoon. Thank you for standing by, and welcome to AppFolio, Inc.’s Conference Call. Please be advised that today’s conference is being recorded and a replay will be available on AppFolio’s Investor Relations website. I would now like to hand the conference over to Lori Barker, Investor Relations.
Lori Barker: Thank you. Good afternoon, everyone. I’m Lori Barker, Investor Relations for AppFolio and I'd like to thank you for joining us today as we report AppFolio's First Quarter 2023 financial results. With me on the call today are Shane Trigg, AppFolio's President and CEO; and Fay Sien Goon, AppFolio's Chief Financial Officer. This call is being simultaneously webcast on the Investor Relations section of our website at www.appfolioinc.com. Before we get started, I’d like to remind everyone of AppFolio's Safe Harbor policy. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections, or other characterizations of future events, including financial projections, future market conditions or future product enhancements or development is a forward-looking statement. AppFolio's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements, except as required by law. For greater detail about risks and uncertainties, please see our SEC filings, including our Form 10-K for the fiscal year ended December 31, 2022, which was filed with SEC on February 9, 2023. In addition, this call includes non-GAAP financial measures. Reconciliations of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our first quarter earnings release posted on our Investor Relations section of our website. With that, I will turn the call over to Shane Trigg. Shane, please go ahead.
Shane Trigg: Thanks, Lori, and welcome everyone to our first quarter 2023 earnings call, and my first as President and CEO of AppFolio. Before we move through our discussion on the quarter and our strategy, I'd like to take a moment to acknowledge Jason Randall's accomplishments and wish him the very best. I have immense gratitude for Jason in all past and present AppFolioant’s who have helped grow the company and I'm honored to have this opportunity to lead AppFolio into what I'm confident is a bright future for our customers, employees and shareholders. I joined this organization three years ago to guide our real estate business with a mission to make AppFolio the leading property management platform. Today, we're making rapid progress towards that goal through a differentiated product vision and a go-to-market strategy that inspires customers to choose and grow with AppFolio. Results from the first quarter of 2023 demonstrate that we're right on track. I'm pleased to say first quarter revenue grew 29% year-over-year to $136 million. We now have more than 7.5 million units on platform and our total number of customers has expanded to nearly 19,000. We continue to see strong growth in our payments business, contributing to growing ARPU and we're pleased with the continued adoption of AppFolio Property Manager Plus. One of the first things I did stepping in to the CEO role was to reflect on the strength of our strategy. I believe the real estate industry needs AppFolio today more than ever. I also believe that our strategy built on three key pillars uniquely positions us and our customers for success. The first pillar of our strategy is creating truly differentiated experiences that solve the challenges our customers are facing and help them better achieve their goals. Continuously listening to our customers helps us understand their challenges and highlight areas in which they're seeking AppFolio’s investment and innovation. And today, our customers' highest priority is streamlining and automating their business processes. One solution to this challenge we frequently talk about is AI-based innovation. We invested in AI early and in recent quarters have told you about our successes with products like smart maintenance, bank feed and our AI leasing assistant, Lisa, the last of which was recently awarded a patent for its powerful technology designed to optimize the leasing process by matching tenants with available units. Our ongoing AI investments are paying off for our customers, increasing their productivity and bringing them closer to their customers. We've had time to build the right team, thoroughly integrate AI into our technology, platform and create repeatable processes and frameworks to rapidly turn AI advancements into immediate customer benefits. A major transformation is happening right now with the emergence of large language models. Our product and engineering teams have started piloting new capabilities such as introducing AI generated real estate listing descriptions into our leasing workflow. I'm excited to see where this will lead and I'm confident that AppFolio will continue to be an AI leader, building market differentiation well into the future. There is another important way in which we solve the challenge of increasing productivity. One that ties directly into why our customers choose AppFolio. The ease of use of our entire AppFolio platform. I hear this all the time in my conversations with customers. Let me give you a simple example of how focused investment in our team and platform is generating highly impactful improvements to our customers' productivity. We've recently released a series of search related enhancements including filtering search results by category, expanding search capabilities to additional documents, seamlessly accessing recent queries and many more, all of which are designed to make our product even easier to use than it already is today. Helping customers achieve their outcomes through constant innovation has a measurable positive impact on customer satisfaction. In a recent strategic relationship survey, customers rated AppFolio number one among our competitive set for continually innovating the product. The second pillar in our strategy is acquiring new customers upmarket. These sophisticated businesses frequently rely on a broad range of point solutions to complement their property management software and need the capability to power their mixed portfolios with multiple property types. Last year, we launched AppFolio Stack, our marketplace for integration partners to address these customer needs and we continue to gain momentum. The number of units connected to Stack is growing and we're proud to be adding even more leading prop tech partners to the marketplace. We're now at 26. The most recent addition is Mezzo (ph) and we expect to soon integrate with rent dynamics, Latch, and PointCentral. AppFolio Stack is a good example of an upmarket capability, we built that is also benefiting SMB customers who are adopting at a high rate. Our nine year partnership with Real Property Management or ARPM, a franchise corporation with 60,000 residential units is an excellent example of how AppFolio is evolving to meet our customers' complex and growing needs using Stack. RPM chooses one property management service provider for all of its franchise locations. And AppFolio continues to earn their business year-after-year. They cite Stack as a key reason, they continue to grow their business with AppFolio. According to Aaron Bracken's Director of Systems and “with the advent of AppFolio's Stack marketplace, RPM has the capability to elevate our operational efficiencies through data aggregation and automation fueling our goal of delivering best-in-class client experiences“. Portfolio characteristic of upmarket customers are often a mix of conventional residential and other property types like affordable housing, expanding our coverage of additional property types contributes to our ability to win and retain these types of customers. In 2022, we worked with charter customers to develop meaningful enhancements to our affordable housing capabilities. In the first quarter of 2023, we added functionality designed to enable these customers to seamlessly manage complex compliance obligations to fulfill state reporting requirements and monitor property compliance for affordable units. The third pillar of our strategy is to expand customer adoption of AppFolio Property Manager Plus and our value-added services. We found that comprehensive adoption is often linked to successful customer onboarding. To that end, one of our service goals this year is empowering customers to confidently adopt the core workflows of accounting, leasing and maintenance within the first 90 days of onboarding. One of the ways we're doing that is by enabling new customers to import their basic AppFolio data on their own including, for example, bank, owner, property and tenant information. Across the industry, onboarding is often a time intensive manual process that can bog (ph) property managers down and take much important time from their customers. By integrating self-service, onboarding into AppFolio's platform and automating steps, we significantly reduce the time it takes new customers to get up and running. In Q1, 75% of SMB customers completed their data submissions and 10 days or less. Not only do time to value improvements like this result in faster adoption of our value-added services and higher customer satisfaction. They also improved the productivity of our support team, which now spends less time on data migration and more time helping customers expand on our platform. It's an example when our customers are winning, we win as well. We've demonstrated that our rapid pace of innovation drives increasing value for customers of all sizes. We'll continue to focus on aligning the value we deliver with the value we capture as we scale to meet the unique needs of our customers across all segments. Meeting and exceeding our customers' dynamic needs doesn't happen without AppFolio's great team of people. We remain committed to building a diverse and inclusive company where each AppFoliant has the opportunity to thrive. We'll continue to invest in our team in ways that deliver products and services that make our customers' lives easier. To that end, I'm happy to announce that Elizabeth Barat has been promoted to be our new Chief People Officer. Elizabeth has been instrumental in building our culture during her six plus years at AppFolio, and I'm excited to see her continue to grow in this new role. To close, by focusing on our three strategic pillars, we have an incredible opportunity to deliver extraordinary customer value and drive efficient growth. I'm honored to lead AppFolio into our next phase, rooted in our values, inspired by our customers, and fueled by our people and world class innovation. I'll now turn the call over to Fay Sien for more detail on AppFolio’s first quarter financial results.
Fay Sien Goon: Thank you, and welcome, Shane. I look forward to partnering with you during AppFolio's next phase. We are pleased with our continued strong revenue growth rate in this quarter. We delivered revenue growth of 29% year-over-year to $136.1 million. Core Solutions revenue was $37.2 million in Q1, another strong quarter and a 21% year-over-year increase driven by new customers and additional units on platforms along with continued adoption of AppFolio Property Manager Plus or APM Plus, particularly as we move upmarket. At the end of the first quarter, we managed approximately 7.5 property management units from 18,834 property management customers compared to 6.6 million property management units from 17,550 property management customers earlier. This represents a 7% increase in customers and a 14% increase in our ending property management units. For value added services, revenue in Q1 continued to grow 35% year-over-year to $96.8 million. While very attractive, the payments business growth rate was more moderate than in the previous few quarters. As we indicated in last quarter's call, our 2023 guidance assumes that the high adoption rate of cards for payments will normalize in 2023. Also, we saw increased adoption and utilization of our risk mitigation product called [indiscernible] and screening services as well as a continued benefit from the rise in property management units under management. Turning to spending. Headcount grew 6% over the first quarter of 2022 to 1,759 at the end of the first quarter of 2023. Headcount dipped 1.5% from first quarter due to normal attrition and a slower hiring rates. In Q1 of 2023 and 2022, the non-GAAP cost of revenue exclusive of depreciation and amortization was 41% of revenue. Our product mix has continued to shift due to an increasing mix of value added services revenue. However, the related increase in expenses for third-party service providers was largely offset by additional headcount efficiency. Turning now to other non-GAAP operating expenses. Our year-over-year dollar increased in operating expenses for Q1 is primarily due to employee costs associated with retaining talents, particularly in specialized areas such as R&D and also due to headcount growth. On a percent of revenue basis, combined sales and marketing, R&D and G&A fell to 56% in the first quarter of 2023 from 58% in first quarter of 2022. Sales and marketing expenses as a percentage of revenue decreased from 22% in the prior year to 20% in the current year. R&D expenses as a percentage of revenue increased from 20% in Q1 last year to 24% this year. During the quarter, we continued to invest in expanding our product offerings, innovation in AI, and capabilities that help us continue to move on market such as stack, affordable housing and some other capabilities that also make our products easier to use. Our G&A expenses as a percentage of revenue decreased from 15% in the prior year to 13% in the first quarter of 2023. Overall, our non-GAAP operating margin in the first quarter of this year improved to a 1.6%% mark compared to a first quarter last year of 5.3%. Free cash flow this quarter was approximately breakeven compared to negative 7.2% in the same quarter last year. Turning to the balance sheet. We ended the first quarter with $182 million in cash, cash equivalents and investment securities. We are increasing our projected full year 20 23 revenue guidance range to $570 million to $580 million. The midpoint of this range represents a full year growth rate of 22%. As we indicated last year, we have strong conviction in our growth strategy. Our guidance assumes that high growth, the use of cards for payments will moderate gradually in 2023. And in this economic environment, we are being prudent in our outlook. Regarding the seasonality in our value-added services, consistent with prior years in a typical second quarter tenant applications increased and our property managers experience and expansion of new tenants in the third quarter. This results in higher demand for our risk mitigation and screening services in the third quarter. Then in the fourth quarter, the business is seasonally slower. We expect such seasonality to continue to 2023. We expect that a 2023 cost of revenue exclusive of depreciation and amortization will decrease slightly as a percentage of revenue due to changing product mix with value added services revenue, now growing at a more normalized rate. Our 2023 increase in headcount is projected to be modest and we are working to increase efficiency and reduce operating expenses on a percent of revenue basis. We are increasing our full year non-GAAP operating margin expectations to 1% to 2% of revenue and free cash flow is projected to grow to 2.5% to 3.5% of revenue. Basic weighted average shares outstanding. I expect it to be approximately $36 million for the full year. The first quarter was a good kickoff to 2023, as we added new customers, expanded our residential unit and increase our ARPU, all while looking for efficiencies to drive growth in our free cash flow. Our long term strategy and track record of delivering real-estates innovation positions as well for continued success. Thank you all for joining us. Operator, this concludes the call today.
End of Q&A: Thank you for participating in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.